Operator: Ladies and gentlemen, good morning, and welcome to TIM preliminary 2025 Results and 2026 Update Presentation. Paolo Lesbo, Head of Investor Relations, will introduce the event.
Paolo Lesbo: Ladies and gentlemen, good morning, and welcome to TIM Full Year 2025 Preliminary Results and 2026 Update Presentation. I am pleased to be here with the CEO, Pietro Labriola; the CFO, Piergiorgio Peluso; and the rest of the management team. We will start with Pietro, who will outline the key messages and strategic highlights of today's presentation. We will then review our 2025 operating and financial performance before addressing selected topics that are particularly relevant to understanding the evolution of the group. Finally, we will provide an update on our 2026 targets and priorities going forward. As usual, we will conclude with a Q&A session. Please refer to the safe harbor statement included in the annex for details on the reporting perimeter. With that, I will now hand over to Pietro. Pietro, the floor is yours.
Pietro Labriola: Thank you, Paolo, and good morning, everyone. 2025 marked another key milestone in our journey to make TIM a normal company, operational discipline, strategically consistent and financially predictable. We delivered on our guidance for the fourth consecutive year, reinforcing our track record of execution and credibility with the market. At the beginning of the year, process investment in TIM strengthened our shareholder base, enhancing governance stability and providing full alignment behind the group's strategic direction. We also reached a positive outcome in the 20-plus year long legal dispute regarding the 1998 concession fee, fully in line with our expectation and removing a longstanding source of uncertainty. TIM shareholders recently approved a significant overhaul of our capital structure. This will simplify our equity and increase strategic and financial flexibility going forward. Importantly, the 2026 guidance and growth trajectory presented last year are confirmed. Looking ahead, we plan to host a Capital Market Day in the second half after the summer once we have full visibility on several key developments, including the outcome of the savings share conversion, the expected approval of the rent sharing agreement with Fastweb plus Vodafone and the definition of the full synergy perimeter with Poste. Let's start with the full year results. In 2025, group delivered solid growth across all key financial metrics, confirming the strength of our operational execution and financial discipline. Revenues increased by 2.7% to EUR 13.7 billion, supported by continued commercial momentum across our core businesses. EBITDA after lease grew by 6.5% to EUR 3.7 billion, reflecting operating leverage and tight cost control. CapEx remained disciplined at below 14% of revenues amounting to EUR 1.9 billion fully consistent with our investment framework. As a result, EBITDA after lease minus CapEx increased by 17% to EUR 1.8 billion translating into stronger cash generation. Equity free cash flow after lease reached EUR 0.7 billion, further reinforcing our deleveraging profile. Net debt after lease stood at EUR 7.9 billion with leverage at 1.86x in line with our targets and capital structure objectives. Geographically, performance was strong in both our markets. In Italy, despite continued competitive intensity, we reported a resilient and improving financial profile. Revenues increased by 1.9% to EUR 9.5 billion. EBITDA after lease reached EUR 2 billion, up 5.1% year-on-year. CapEx on revenues was just above 12%. EBITDA after lease minus CapEx increased by 18%, reaching EUR 0.8 billion. In Brazil, the market environment remains rational, allowing us to continue delivering sustainable growth and profitable expansion. Overall, the year confirms that the post NetCo team is structurally stronger, more cash generative and better positioned to deliver sustainable value creation. For the fourth consecutive year, both group and domestic results were fully in line with guidance across all metrics and unprecedented achievement in TIM's recent history and a clear testament to the consistency of our execution. In the next slides, I will focus on EBITDA after lease, equity free cash flow and leverage, outlining the key operational and financial drivers behind this performance. Starting with EBITDA after lease, full year growth was fully in line with our guidance at both group and domestic level. In Italy, the year-on-year acceleration progressed as expected. The improvement was sorted by initial comparison base and by positive drivers materializing in Q4. Notably, the full contribution from the back book price adjustments and the typical seasonality of the enterprise business. At group level, Italy and Brazil contributed almost heavily to EBITDA growth. Revenues accelerated at a faster pace than operating costs, resulting in operating leverage and a 1 percentage point margin expansion year-on-year. On segment profitability, we are currently revising the cost allocation framework between TIM Consumer and TIM Enterprise to better reflect their economics. The objective is to provide a more precise representation of the underlying profitability of each business, even considering the mutual intercompany contribution. Given that this work is ongoing and to avoid unnecessary comparability noise, we prefer to disclose segment profitability metrics based on the revised allocation framework at the upcoming Capital Market Day. Cash generation in the year was robust and fully supportive of the reduction in net debt after lease. Equity free cash flow amounted to EUR 0.7 billion, materially above target. The outperformance was driven by 2 distinct components. First, the underlying core performance generated approximately EUR 0.55 billion, around 10% above target. This was primarily supported by stronger operating free cash flow in line with the trajectory we had anticipated in previous earnings calls. Second, in addition, EUR 0.2 billion derived from nonrepeatable items. This included the early collection at year-end of certain public administration receivables originally due in 2026. This timing effect will reverse in 2026. The positive cash impact related to the stock split and stock grouping at TIM Brasil. Turning to net debt after lease shown on the right-hand side of the slide, the reduction was in line if anything, slightly better than expected. The main drivers were 3, the first one. The stronger equity free cash flow just discussed. The second approximately EUR 0.1 billion cash proceeds from the divestment of 2 financial assets completed in Q4. Third, the distribution by TIM Brasil of earnings totaling BRL 2.2 billion in December 2025. This represented an advance of shareholder remuneration originally due in 2026 and resulted in an additional dividend leakage to TIM Brasil minorities of approximately EUR 0.1 billion. Overall, total dividend leakage to TIM Brasil minorities in 2025 amounted to EUR 0.3 billion. As a result, net debt after lease at year-end stood at EUR 6.9 billion with leverage at 1.86x fully consistent with our deleveraging path and capital structure objectives. Turning to TIM Consumer. In the fourth quarter, total revenues and service revenue declined by 2.3%, primarily reflecting a lower contribution from wholesale. The MVNO business experienced volatility with Fastweb and CoopVoce exiting. Retail performance remained stable. For the full year, total revenues amounted to EUR 6 billion, down 0.9% year-on-year, while service revenue were broadly stable, a meaningful outcome in a still competitive environment. A key driver of this stability was our repricing campaign. In 2025, we implemented price increases across more than 8 million fixed and mobile consumer lines. The impact was visible across all KPIs. Wireline ARPU increased by 5.1% year-on-year. Mobile ARPU was up 0.4%. Churn remained firmly under control despite multiple pricing action over time. This performance confirms the effectiveness of our volume-to-value strategy launched in 2022. Notably, similar pricing initiatives have recently been announced by other market players starting in 2026, reinforcing the sustainability of this approach. On the commercial front, wireline net adds improved in the full year with almost 25% fewer line losses compared to 2024, supported by the growing contribution of FTTH and 5G FWA. In mobile, net adds were broadly stable versus 2024. More importantly, number portability was neutral again in Q4, confirming the stabilization trend seen in previous quarters. During the quarter, we disconnected approximately 400,000 SIMs that had been inactive for more than 12 months with no impact on ARPU or service revenues. Finally, on our customer platform, TIM Vision service revenue continued to grow steadily, up almost 5% year-on-year. With the recent addition of HBO Max and Paramount Plus, TIM Vision now represents the most comprehensive content aggregation platform in the Italian market. The sustained top line momentum validates the strategic rationale of this positioning. Turning to TIM Enterprise, Q4 marked the 14th consecutive quarter of growth, with both total and service revenue increasing at double-digit rate, confirming the structural momentum of the business. For the full year, total revenues increased by 7% year-on-year to EUR 3.5 billion, while service revenue grew 9%, reflecting a favorable mix shift toward higher value-added services. Our strategic focus on ICT and digital platforms continues to deliver tangible results. Cloud was the clear growth engine, expanding by 24% year-on-year and representing more than 40% of TIM Enterprise service revenue in 2025. Connectivity evolved as expected, with a moderate overall decline. Within the mix, fixed connectivity remains stable, while mobile was affected by phaseout of a large public administration contract that we consciously decided not to renew in line with our disciplined approach to margin protection and avoidance of low-return tenders. Other IT services grew by 4%, supported by strong demand in cybersecurity and IoT. The integration of our infrastructure assets with advanced cloud, IoT and cybersecurity capability underpins TIM Enterprise competitive edge and market differentiation. Our ambition is clear: to leverage this foundation becomes Italy leading provider of sovereign digital services. In this context, the National Strategic Hub stands as Europe's first concrete example of a sovereign cloud initiative. TIM Enterprise revenues generated within this framework have doubled over the past 12 months, giving us a structural head start in a strategically critical segment. Moving to Brazil. Results once again confirm strong execution and disciplined management. The market remained healthy and rational and TIM Brasil continued to deliver profitable growth, reaffirming its position as the most efficient operator in the country. For the full year, top line growth was in the mid-single digits, driven by mobile service revenues. Monetization of the customer base remains a key priority, supported by successful upselling from prepaid to postpaid, resulting in the highest ARPU in the market. Efficient operational execution drove high single-digit EBITDA after its growth and margin expansion. Operating expenses remain below inflation while EBITDA after lease up nearly 9% year-on-year. The combination of EBITDA after lease growth and disciplined CapEx translated into double-digit growth in cash generation. These results demonstrate that the operational discipline and value-oriented approach that have driven success in Brazil are the same principle guiding the transformation of our domestic business. Across both markets, the formula is consistent, focused efficiency and value creation and the results speak for themselves. I will now hand over to Piergiorgio for a detailed review of the financial results.
Piergiorgio Peluso: Thank you, Pietro, and good morning, everyone. Let me start with a few comments on group CapEx and OpEx. Group OpEx rose modestly in 2025. Around 2/3 of the year-on-year growth was attributable to the domestic perimeter with the remaining 1/3 related to TIM Brasil, where cost growth remained well below inflation, confirming continued cost discipline. In Italy, the slight increase in OpEx was primarily driven by revenue-related components, namely higher cost of goods sold linked to ICT revenue growth as well as higher G&A and labor cost. These effects were partially offset by lower industrial costs, including savings in network operations and energy. OpEx related to FiberCop MSA reduced 11% year-on-year. Group CapEx declined 1.7% year-on-year to EUR 1.9 billion, with Brazil stable and Italy down 2.6%. CapEx intensity stood at around 14% of revenues. In Italy, about 25% of CapEx was customer-driven while 50% was allocated to infrastructure investment, including mobile network, IP backbone and data center, where we are expanding capacity to meet the surge in cloud demand. In Italy, our transformation plan continues to enforce strict OpEx and CapEx discipline. As a reminder, progress is tracked against the inertial OpEx and CapEx trajectory that is the cost baseline we would have incurred without the plan. Domestic transformation plan delivered to EUR 266 million in cash cost reduction versus inertia plan achieving 130% of the full year target. In previous earnings calls, we indicated that cash generation would accelerate in Q4 and that the group was on track to achieve and potentially exceed full year guidance. This is exactly what happened. Equity free cash flow came in materially above target, as already outlined by Pietro. In addition, Q4 included some nonrepeatable items below the equity free cash flow line. As a result, group net debt after lease decreased by EUR 0.4 billion over the last 12 months from EUR 7.3 billion to EUR 6.9 billion. This slide summarizes the main moving parts. Starting with equity free cash flow of EUR 0.7 billion resulting from EUR 2.0 billion of EBITDA after lease minus CapEx. This reported figures include the positive profit and loss impact of the concession fee and the negative profit and loss effect related to the reversal of wireline contract cost following the reassessment of deferral period implemented at year-end. I will address both items in the next slide. EUR 0.7 billion net working capital absorption. This figure includes both the concession fee and the reversal of wireline contract cost, but with the opposite cash effect compared to the profit and loss, resulting in a neutral net cash impact. Working capital also reflects cash out items such as preretirements and the final installment to DAZN. Excluding these extraordinary components, the change in underlying net working capital would have been broadly at breakeven. A detailed breakdown is provided in the annex. Below equity free cash flow, the main items were EUR 0.3 billion of dividend leakage related to TIM Brasil minorities, EUR 0.1 billion for the buyback in Brazil, EUR 0.1 billion of cash proceeds from the disposal of 2 financial assets completed in Q4. The resulting net debt after lease at year-end stood at EUR 6.9 billion with a leverage at 1.86x. Before moving to the 2026 update, I would like to address a few special topics that require attention. Please feel free to raise any clarification point during the Q&A session, should anything require further detail. The first topic relates to the '98 concession fee. As you know, last December, the Italian Court of Cassation ruled in favor of TIM, bringing to a close of a more than 20-year legal dispute and triggering approximately EUR 1 billion not appealable compensation. From an accounting perspective, this amount was recognized as other income within 2025 reported EBITDA. However, it was not reflected in the year-end net financial position. As previously communicated, in July, we anticipated the expected cash in through a factoring transaction. The related proceeds were temporarily recorded as financial debt and from an accounting standpoint with no impact on the net financial position. This liability will unwind in 2026 upon receipt of the payment from the Italian Government. The 1998 concession fee leads to the next special topic on Slide 16. On the 28th of January, ordinary and savings shareholders approved the 2 key resolutions aimed at simplifying our capital structure and increasing strategic flexibility. The first resolution concerning the reduction of share capital from almost EUR 12 billion to EUR 6 billion. This will not alter total value of net equity or economic substance. Rather, it will realign the equity structure and restore available reserve, thereby enhancing financial flexibility, including the potential for future shareholder remuneration. The figures shown in the slide refer to year-end 2024 and will be updated in March following the approval of the 2025 financial statement. The second resolution relates to the conversion of savings shares, a long anticipated step towards simplifying TIM capital structure. Moving to a single class of shares will improve stock liquidity and index relevance while eliminating preferential rights attached to saving shares and fully align the interest of all shareholders. Going forward, TIM's capital structure will be leaner, more efficient and more remuneration supportive. This slide outlines the time line for the conversion process. I will not go through each individual step. In summary, assuming no position from creditors to the share capital reduction, a scenario we do not expect, the conversion is anticipated to be completed by the end of May. The last special topic concerns the reassessment of the deferral period for the one-off cost related to wireline contracts introduced at year-end 2025. Let me start with industrial rationale. Following the disposal of the wireline access network in 2024 and the progressive implementation of our customer platform strategy, our business model has evolved. Customers are no longer identified by a single fixed line but by a broader ecosystem of services, connectivity, entertainment, energy, insurance and more. Consistently, our cost structure has shift from an infrastructure-based model to a more variable and service-driven structure. This new operating context require the reassessment of the deferral period of wireline one-off contract cost. There is no change for variable cost, which will be -- continue to be expensed in the profit and loss on an annual basis as long as the line remains active. Starting the 1st of January 2026, one-off cost will be no longer deferred over 8 years previously aligned with the average customer useful life, but over 4 years, reflecting the economic payback period. These one-off costs mainly include the subscriber acquisition and provisioning costs incurred at contract inception. Most importantly, this accounting change has no cash impact. The cash out associated with this cost is and will continue to be fully recognized in the year of activation. With the adoption of the revised deferral period, we aligned the previously deferred cost to the new 4-year amortization period. This led to a nonrecurring charge of approximately EUR 0.6 billion recognized in 2025 reported EBITDA. Starting from the 1st of January 2026, one-off activation cost will be amortized over 4 years with 1/4 of the amount recognized in the profit and loss each year. Overall, the net impact on EBITDA is expected to be broadly neutral over time. The initial headwind resulting from the shorter amortization period of new activation will be offset by the tailwind from lower residual deferred costs still to be released to the profit and loss. As I want to reiterate, this reassessment as 0 cash impact. Its rational is industrial and economic. Future efficiency in one-off cost will be reflected more rapidly in the profit and loss, improving the alignment between EBITDA performance and cash generation and enhancing the transparency of underlying profitability. A simplified illustrative example of new versus old treatment is provided in the annex. Before moving to the 2026 update, let me briefly recap the key messages on these special topics. The 1998 concession fee enhances our financial flexibility. In the short term, it will support the financing of the savings shares conversion. The positive impact on the net financial position will materialize in 2026 upon cash received. The new capital structure will be leaner, more efficient and better positioned to support shareholder remuneration, thanks to the restoration of the distributable reserve. The conversion to a single class of shares will eliminate preferential rights, fully aligned shareholder interest, improved stock liquidity and increased index relevance. The revised deferral period of wireline contract one-off cost has no cash impact and will improve the alignment between EBITDA and cash generation, increasing transparency on underlying profitability. One additional update yesterday, the Board of Directors approved a 10-for-1 reverse stock split. Subject to approval at the shareholders' meeting to be held on April 15, this measure is expected to reduce share price volatility and broaden the potential investor base. With that, I hand back to Pietro for the 2026 update.
Pietro Labriola: Thank you, Piergiorgio. Before we move into 2026 outlook in detail, let me reiterate the key points. The strategic framework presented last year is fully confirmed. You will see some refinements in business assumptions, but the direction of the travel remains unchanged. To ensure full clarity, these slides summarize the main assumption underpinning our 2026 guidance. Starting with Italy. Equity free cash flow will include around EUR 1 billion related to the concession fee with a corresponding reduction in year-end net debt. We are assuming no material contribution from Poste synergies in 2026. I will elaborate further on this on Slide 26. The MVNO segment will remain somewhat volatile during the year. PosteMobile will progressively migrate inbound, reaching full contribution in Q4, while Fastweb and CoopVoce will complete their outbound migration in the first half. No material impact is assumed from the RAN sharing agreement with Fastweb and Vodafone, subject to expected approval by the National Regulatory Authority. Value of services provided to FiberCop will progressively scale down during 2026. Our guidance assumes 0 contribution from the NetCo earnout. We assume completion of the Sparkle disposal in Q2, reflecting timing in the authorization process. We are not concerned. This is merely a matter of time. In terms of shareholder remuneration, our assumptions are: a cash-out of approximately EUR 0.7 billion in May representing the cash component of the savings share conversion. The declaration of a dividend of approximately EUR 0.5 billion for fiscal year 2026 payable in 2027. The launch of a share buyback after Sparkle disposal closing for an amount equal to 50% of the transaction proceeds. Turning to Brazil. We assume cash-out of approximately EUR 0.2 billion related to the acquisition of the remaining 51% stake in I-Systems. On shareholder remuneration, TIM Brasil has maintained a trajectory of sequential improvements. Let's now review the priorities for our 3 entities. For each, the strategic focus outlined last year remains confirmed. TIM Consumer, we expect a stable retail top line and the reduction in MVNO as previously explained. Profitability will be supported by disciplined cost control. CapEx will remain focused on 5G deployment and the customer platform. TIM Enterprise. Growth above market is expected to continue. Our priorities include further margin improvement through cost efficiency and optimize mix versus by mix. Investments will focus on data center and AI capabilities progressively position TIM Enterprise as the Italian champion in sovereign cloud. TIM Brasil, the focus is on delivering EBITDA growth above inflation. Will still strengthen the mobile value proposition, deploy targeted offers and expand ancillary revenues while maintaining selective broadband investment and accelerating B2B connectivity, IoT and ICT services. Across the group, our ESG agenda remains a structural pillar of long-term value creation, fully embedded in our industrial strategy rather than treated as a parallel initiative. In 2026, we will focus on 3 clear priorities. First, on the environmental front, we'll present our environmental transition plan setting up a structural pathway to decarbonization with defined milestone and accountability. At the same time, we will address execution challenge, increasing transparency and control over remission that historically sit outside direct telco boundaries, particularly Scope 3 and supply-related emission by strengthening tracking engagement and governance mechanisms across the value chain. Second, on the social dimension, we'll continue to advance gender balance across all levels of the organization. Our objective is not incremental improvement, but measurable progress in leadership and critical roles, reflecting a deeper and lasting culture shift. And finally, on governance. In strong alignment with TIM Enterprise's strategic positioning, we will reinforce our commitment to digital sovereignty. This means enhancing secure, resilient and trusted digital infrastructure and services, contributing to a more robust and strategically autonomous digital ecosystem. Let me now turn to one of the most important structural shift shaping our industry. The evolution from cloud adoption to cloud governance. For years, cloud was primarily about efficiency, about scale, speed and cost optimization. Enterprises migrated workloads to global hyperscaler to gain flexibility and reduce infrastructure complexity. Adoption saw the scale challenge. Today, the conversation has fundamental change. Cloud is no longer just about computing power. It is about control, control over data, operation and technology. We are witnessing a clear transition from the old model '21. Previously, business drivers were scale and speed. Today, they are controlling resilience. Customer priorities are shifting from pure cost efficiency to risk mitigation. Architecture are moving from global centralized hyperscale model to jurisdiction aware distributed designs. Most importantly, companies and public administrations are rethinking control over their data, moving from vendor concentration toward multilayer sovereignty. In short, adoption solved scale. Governance now addresses risk. This shift is particularly relevant in Europe and in regulated industries, including public administration, finance, health care, and critical infrastructure, where data sovereignty, compliance and operational resilience are strategic imperatives. This is exactly where TIM is uniquely positioned. We are not just a connectivity provider. We operate critical national infrastructure, understand regulatory framework, manage secure network at scale and already serve the most sensitive segments of the economy by leveraging our existing sovereign infrastructure, combining secure data -- secure data center, advanced cloud capabilities, edge computing and trusted partnership we are building a compelling sovereign cloud proposition. And this is not theoretical. It is already translating into commercial momentum and long-term contracts, strengthening the quality and resilience of our revenue base. Let me briefly highlight another structural shift shaping our performance and future growth, the move from volume-based to value-based connectivity. In the past, the industry competed mainly on price per gigabyte. Network were largely best effort and demand was driven primarily by video and social media. In that context, connectivity risk becoming a commodity. Today, the paradigm is shifting. Latency, symmetry, resilience and reliability are now critical. Both consumers and enterprises increasingly demand guaranteed performance not just data volume. We are moving from price per gigabyte to price per call for quality. Application as cloud gaming, 4K live streaming, smart home security, industrial IoT, edge computing and AI workloads all require ultra low latency, jitter control, stronger uplink capacity and built-in redundancy. Performance metrics now define value. This shift plays directly to our strengths. Investment in 5G stand-alone and network modernization are enabling ultra-high-performance connectivity, allowing us to differentiate introduced premium proposition and improve monetization. For enterprise customer, in particular, connectivity is becoming mission-critical infrastructure, supporting longer contracts, higher quality revenues and stronger margin. We are not talking about the access. We are talking about the backbone, the electronic in our network. In 2025, we continue to enhance network quality and expand coverage, reinforcing our positioning in other segments. This message is simple. As connectivity becomes strategic, value creation increases, our high-performance network and backbone is a key enabler of sustainable growth going forward. Before moving to the guidance, let's briefly review the strategic partnership we're developing with Poste. Conceptually, the expected synergy can be grouped into 3 main areas. MVNO contract at the full run rate, this is expected to generate high-margin revenues of approximately EUR 100 million per year, representing a clear derisking of the business plan. TIM Consumer and TIM Enterprise initiatives, several projects are already underway with others to be launched shortly. We expect a positive impact on EBITDA after lease of approximately EUR 50 million per year at full run rate. Additional transformation project, these initiatives are still under evaluation. They have significant potential, but we need time to finalize them. We will provide further details at the upcoming Capital Market Day. Now I leave the stage to Alberto Griselli, Chief Executive Officer of TIM Brasil to talk about the Brazilian guidance for 2026.
Alberto Griselli: Thank you, Pietro. Good morning, everyone. I'm Alberto Griselli, CEO of TIM Brasil. Pietro has just outlined our results. We delivered a strong quarter and closed year with solid performance, reflecting consistent execution and discipline across the business. Importantly, 2025 marked a key milestone for TIM Brasil. Our return on invested capital exceeded the consensus cost of capital, confirming that our strategy is translating into tangible value creation. As we move into 2026, our direction is clear. We continue to focus on value creation across mobile, B2B and broadband supported by 3 company-wide enablers, artificial intelligence, efficiency and ESG. TIM Mobile profitability remains the priority, supported by a customer-first approach. In B2B, our increasingly scalable portfolio positions us well to capture new growth opportunities. In broadband, we entered the year with a more efficient operating model and a portfolio line with disciplined expansion. Across the company, artificial intelligence is becoming a core lever to improve productivity and decision-making, while efficiency and capital discipline remains central to protecting margins and cash generation. This brings us to our guidance, which reflects continuity and discipline. Service revenues are expected to grow in real terms, supported by resilient mobile performance, a recovery in fixed and redevelopment of new revenue streams. EBITDA is expected to grow faster than revenues with margin expansion driven by OpEx efficiency, digitalization and the progressive materialization of artificial intelligence-related gains. Investments will remain disciplined, guided by an efficient capital allocation framework, focused on network quality and technological evolution. We will continue to strengthen our revenue to cash conversion through a holistic approach to operational efficiency. Finally, taken together, these elements support a faster expansion of shareholder returns fully aligned with cash flow growth. Back to you, Pietro.
Pietro Labriola: Thanks, Alberto. Let me walk you through our 2026 guidance at group and domestic level. Group total revenues are expected to grow by 2%, 3% with domestic growth in the range of 1% to 2%. Group EBITDA after lease is expected to increase between 5% and 6% with domestic growing at around 4%. As already mentioned, domestic revenue and EBITDA trends incorporate the temporary volatility in the MVNO segment. PosteMobile will progressively reach full run rate during 2026, becoming a structural tailwind from 2027 onwards. CapEx on revenue is expected to remain below 14% at group level and around 12% for domestic, confirming our disciplined investment framework. In terms of cash generation, we expect equity free cash flow after lease of around EUR 1.8 billion, excluding the net cash in from the concession fee, which will contribute below EUR 1 billion post tax and taking into account reversal of public administration invoices anticipated in Q4 2025, we are confirming the EUR 0.9 billion target announced last year despite the weaker foreign exchange rate. Leverage will remain below the maximum threshold of 1.7x that we committed to last year. I will provide further detail on this in the next slide. Turning to shareholder remuneration for fiscal year 2026, we envisage 3 components: a dividend of approximately EUR 0.5 billion corresponding to 70% of equity free cash flow after lease, net of concession fee and dividend to TIM Brasil minorities. The payment will occur in 2027. A share buyback equal to 50% of the proceeds from the Sparkle disposal to be launched following completion of the transaction. A cash payment of up to EUR 0.7 billion to current savings shareholders in connection with the share conversion with completion expected by the end of May. Let's now take a final look at 2026 cash dynamics. There will be 3 main sources of cash. Equity free cash flow after lease, the cash related to the 1998 concession fee, proceeds from the Sparkle disposal. After distributing dividend to TIM Brasil minorities and executing the share buyback in Italy, part of this financial flexibility will be allocated to finance the cash component of the savings share conversion and the acquisition of a 51% stake of I-Systems in Brazil. The 2026 year-end net debt will remain below 1.7x, a level we consider optimal for our capital structure and one that positions TIM in a best-in-class peer comparison. Additional financial flexibility may be deployed to accelerate both organic and inorganic growth. On the ESG, this slide shows a very clear progression, strong execution against our 2025 targets and a more focused agenda for 2026. On the environmental side, we have reached 100% green energy, a significant operational milestone supporting our decarbonization pathway. In parallel, we are strengthening Scope 2 measurement capabilities laying the groundwork for a more structural rollout in 2026. On social dimension, progress is tangible. Women has reached 52.3% our target trajectory and women in leadership position increased to 33.5%, moving steadily toward our 2027 objectives. In 2026, the focus remains on sustaining this momentum both in hiring and in leadership representation. On governance and digital transformation, Italy is delivering high operational targets, advanced digital solutions grew by 22%, exceeding the 17% target for 2025. One, digital identity services reached 34% outperforming expectations. In 2026, we aim to scale the public administration governance platform with more than 30% new customer versus full year 2025 activation, and to expand sovereign services with around 20% year-on-year growth in commercialized services. In Brazil, we continue to invest in people and capabilities. We have already upskilled 60% of the workforce in digital competencies and plan to train at, at least 20% more employees in 2026 compared with 2025 levels. Overall, execution remains disciplined and measurable with clear operational milestones supporting our broader ESG framework. Let's now move to the closing remarks to wrap up. Looking back and considering TIM's reputation in the financial community in past year, it is noteworthy that we have achieved our targets for 4 consecutive years. I want to emphasize again that the new governance has brought greater stability and full support to the group strategy, enabling planning with much higher visibility than before. The near-term outlook is clear. The 2026 trajectory is solid and fully aligned with the guidance we announced 1 year ago. Execution will continue with consistency and discipline. Guidance is confirmed. Looking beyond 2026, the best is yet to come. Details will be shared at our upcoming Capital Market Day. With that, we are ready to take your questions after some few seconds of rest.
Operator: [Operator Instructions] The first question is from David Wright at Bank of America.
David Wright: I hope you can hear me well. So I just need a little bit of help with the numbers. You talked about the exit of MVNOs, including Fastweb and then the onboarding of Poste. So I just wondered how much in euro terms of revenue are we losing in 2026 from the exiting MVNOs, how much are we gaining from Poste? I think you suggested full run rate in Q4, but if you could just balance those numbers for us a little. And I guess that's suggesting some weaker H1, stronger H2 phasing in the domestic run rate. That's question 1. And then question 2 on the Enterprise business. The prepayment of revenues that came in, in Q4, it looks to me that's give or take sort of EUR 100 million of revenues. Is that right? And should we then expect full year '26 growth to be equally weaker? So again, we're going to get 6% '24, 9% '25. Are we going to go back down to sort of 3% levels in 2026 before we normalize again in '27. So I'm just trying to understand the phasing a little and any numbers you can give me on that would be super useful. Sorry for being a bit more technical.
Pietro Labriola: Thank you, David. I think that you want me to explain what we should stated during the call because exactly what we'll have is that we'll have a weaker first half 2026 compared to the first half of 2025 and a stronger second half 2026 compared to the second half 2025. Why that? If we look also in the Excel number that we shared with all of you, the first quarter 2025 was the highest one in terms of MVNO revenues. Then it was shading through all the 2025 and this is something quite normal. The PosteMobile phasing we started at the beginning of the second quarter 2026 and we reach a regime situation in the third quarter 2026. What it will mean? And so it's very important to say to everybody that you will see a weak EBITDA in the first half 2026 compared to the previous year. Just for this movement, no panic, no hurry. It's a normal trend of the revenues. At the same time, you will see a first quarter of 2027, stronger in terms of comparison year-over-year because you will have in the first quarter 2027, a complete amount of the MVNO of Poste. So everything was under control. And these are the dynamics of this component. And this explain also reading also some of the comments, a weaker EBITDA growth year-over-year at 4%, but this was mainly related to the delay of the, let me say, phase in, phase out between the MVNO contract. Overall, what is -- we're talking about a contract that is closed between EUR 80 million and EUR 100 million on a yearly basis. I hope that on this point is more clear now before to move to the second question. Is it?
David Wright: Yes. That's cool.
Pietro Labriola: But again, I want to stress that we want to be a transplant company or better, as you mentioned in one of your report, a more normal company, no surprise, the first quarter, the EBITDA will be weaker not because we are stupid. And the first quarter 2027 will be better, not because we are superman. Then when we move to Enterprise, what we are mentioning that is a prepayment has no impact on the competence and so on the revenue year-over-year, on the EBITDA year-over-year because it's an anticipation of payment and it allow us to explain also the trend of the equity free cash flow. We are closing better the 2025. It's important to highlight that is not a lottery ticket, the better result of 2025 because also if we have some nonrecurring activity. I have to remember to everybody that it's quite normal that the company has a guidance and an internal budget. In TIM, I'm used to give to my team a budget and the target that is higher than the guidance because we want to put the market on a safe side without surprise. So this result of 2025 is the result of the activity of the TIM. Then when we compare the result of 2025 towards the guidance of 2026. What's happened? In 2026, we are putting EUR 1.8 billion. Of this EUR 1.8 billion, around EUR 950 million is related to the [indiscernible] the concession fee. So it remains EUR 850 million. Our previous guidance was EUR 900 million, but we will have in the first quarter of 2026, the reverse of the anticipation that we had in the last quarter of 2025 by the public administration. And in the meantime, if you look at the currency rate that we are using for our plan 2026 is worse than the 2025 assumption. It means that if we should compare on an equal basis, the real -- or let me say, the organic equity free cash flow -- equity free cash flow number in absolute value for 2026 should have been EUR 950 million. So in some way, is as we are declaring that we are upgrading the fact our guidance, absorbing these 2 movements. Is it more clear now, David?
David Wright: Yes. Yes. That's super.
Operator: The next question is from Mathieu Robilliard of Barclays.
Mathieu Robilliard: Hopefully, you can hear me well. I had a question first on the front book back book. I mean you've done quite a bit of price increases on fixed and mobile throughout 2025. It has had no impact, no visible impact on churn. So I guess this is probably or possibly because of the front book and back book gap continues to be quite reduced. If you can give us a bit of color into that, that would be helpful. The second question was about NSH. So very strong growth between '24 and '25. Should we assume that this type of growth -- this magnitude of growth can continue in '26? And lastly, I mean, you're starting to have a rich company problem with leverage coming now with leverage coming down a lot in 2025, and we fast forward to 2026, it's going to be extremely low. So how should we think about capital allocation? Of course, you reinstated the dividends. But even with that, it seems you have a lot of flexibility or will have a lot of flexibility.
Pietro Labriola: Okay. Thank you, Mathieu. I will leave Andrea to answer to the first question to give some more colors. But what is important that today, we are performing very well compensating the line erosion with the price. But as we put in the presentation, we think that the next challenge for all the telco in Europe in the following years will be the market consolidation and in some way, I'm answering also to last your question, we must be ready to be part of this process. And the second to be able to ask for a premium for the better quality of our services. I want to highlight this point. This is not something that will happen in 2026. But if you look at 2027, 2028, the quality of the network will become key for the end user services. You will need more latency, you will need more uplink, but you need also a much better backbone. And we are the player in Italy today that is positioned in the best way to try to exploit this opportunity. But I leave to Andrea to give more color.
Andrea Rossini: Thank you, Pietro. Thank you, Mathieu. You're right. We did quite a lot of work on the back book price up, especially during '25, we said several times that we had an impact of around EUR 100 million from the back book price up. The impact on churn was actually compensated by several items, meaning that we worked on convergence. We worked on the diffusion of TIM Vision. The TIM Vision-based increased quite a bit and this contributed to somehow stabilize the impact of price up on back book that is inherently generating some impact of churn. The most important thing is also to notice that as regards the front book trend, we see some positive evidence from the market. So after the merger between Vodafone and Fastweb, we actually see some rationality in pricing. And we see along the second half of the year also some action on back book price up. So this is a positive outcome. The other thing is on mobile, we do see a reduction of the rotational churn in the market. And this is contributing to stabilize the churn effect. Meaning that as we said several times, the impact of Iliad in the market is decreasing and the impact of Fastweb that was acting like a disruptor until 2020, 2024 has come down. Therefore, this contributes to create a positive scenario for the stabilization of the churn effect.
Pietro Labriola: About the second question, I'll leave Elio to give you some more details.
Elio Schiavo: So sorry for my voice. I hope you can you hear me?
Pietro Labriola: Yes.
Elio Schiavo: Okay. Good. So we don't see any discontinuity in revenue generation. Actually, we feel very positive about 2026. Just to let you understand why we registered this 9%. Actually, we have a lot of seasonality in quarter 4, as we told you many times. And what happens here is that we got an extraordinary quarter 4 because, let's say, if we compare quarter 4 '25 versus '24 is EUR 144 million higher. And in the year -- in the previous year was only -- the difference was only EUR 56 million and when we look at the difference between quarter 3 and quarter 4, in 2024. It was EUR 180 million. In 2025 was EUR 310 million. But just to let you feel good about our revenue forecast for 2026. We got backlog at a level of EUR 4.2 billion of revenues that we have already secured for the years going forward. And in 2026, the fraction of this backlog, which represents revenues already secured is above 60%. So we don't see the trajectory of our revenues to go down for no reasons.
Pietro Labriola: Mathieu, and now I will take the third one. First of all, again, we are really [indiscernible] because if you look at our presentation of the last year in our Capital Market Day, we're already showing that after the cash-in of the concession fee, we should have reached a level of leverage where our target should have been 1.7 as rational, and the remaining part should be financial flexibility. We are reaching this target in advance compared to the previous plan. And it will help us in terms of capital allocation, then I will leave to Piergiorgio to elaborate more on that, to work on the possibility that could arrive to be part of a potential market consolidation because I continue to bet on the fact that it will happen, and I completely subscribe the position of Mario Draghi at the European level, something that was also subscribed by the GSMA. We must try and the time is now to catch the opportunity of the sovereign cloud and digital sovereignty. This is not an Italian clean. It's an European point on which everybody are putting pressure and to be a company, a team that now is considered a national champion for us it will be much easier to do that. And then there's a matter of capital allocation also on the internal project. But I'll leave to Piergiorgio to give some more colors on that.
Piergiorgio Peluso: Thanks, Pietro. Good morning to everyone. The point of the capital allocation, as you can imagine, is a crucial point that we are analyzing and working on since the -- since a few months. I would say first comment, we have already decided to execute certain transaction considering the capital allocation that has been available, thanks to the concession and to the potential sale of Sparkle. So I would say first answer to your question, Mathieu is that the acquisition in Brazil of IHS in the region of EUR 200 million plus the savings share conversion and the shareholder moderation that we are already envisaging in our current guidance is already a first answer to your point on how we look at the capital allocation in the future. Of course, we consider dividend distribution in terms of a sustainable remuneration to the shareholder, while having or limiting buyback to certain extraordinary items in order to have, let's say, a shareholder remuneration based on the recurring profitability through dividend. In terms of, let's say, more in general on capital allocation, I would say that we have started a work and allocating EUR 200 million of CapEx in 2026, included in our guidance in order to execute a certain transformation project, and I don't know, just to make simple example, back office automation in customer care or reduction of legacy services or platform decommissioning and supplier consolidation, digitalization of procurement. And I mean, it could be as long as you want. But as you can imagine, with -- in this moment, there are several opportunities that we can work on. And this is the first time that the company is allocating, let's say, an important amount of money dedicated to those projects. Of course, this will have a limited impact in 2026 and it will be much more evident in 2027 and so on, but this will be more part of the presentation that we will have in the Capital Market Day already with the initial results of these projects. The idea is I just want to anticipate one point, which is crucial. The idea is to consider, let's say, much more the profitability of Telecom Italia and the domestic business, particularly based on the cash EBIT result, let's say, net operating profit after tax compared to the cost of capital in order to identify clearly the legacy that we have in our net invested capital and clearly present to you a set of KPIs where we'll be managing and switching off all these legacy. So this is a journey that we have started, and I think it's part of our transformation effort that we are already launching.
Mathieu Robilliard: If I can follow up, maybe Pietro, you talked about consolidation. How could that be source of capital allocation from your point of view? It doesn't seem in Italy, you would be involved in something major, but maybe I'm wrong. Are you talking maybe about small adjusted businesses in Italy?
Pietro Labriola: But about market consolidation, I don't want to speculate it on that, but the number of all the players are quite clear. So if you want to be sustainable in the market, in the medium, long run, you must look for market consolidation because there will be an optimization at network level, at all the different cost level and you could have also a more rational approach. But I'm not saying something that is different from what you are experiencing in France, in Spain, what's happened in U.K. Europe is in the same situation. The only way to recover in terms of profitability is the market consolidation where market consolidation doesn't mean price increase, but a much better level of efficiency at all the levels. The second that is not related to the market consolidation is. Are you using AI? Well, if you are using AI, you will need a higher level of latency. If you want to be in a stadium and been able to do something on your mobile while you have a crowded stadium with 70,000 spectators you have to pay for a premium. Just to give you an idea, we put as first chart. The first chart was the Milano Cortina sponsorship that we did. We were able to put in the hands of all the different spectators, but also all the athletes, mobile lens that we're able to navigate and serve and experience a very good network quality because of our network. I think that this is the trend. Then we are always open to look at all the opportunity that generate value. And for us, value as Piergiorgio was explaining, is not growth on EBITDA, but cash generation because this is the main driver. I hope that was clear, Mathieu?
Operator: The next question is from Ajay Soni at JPM.
Ajay Soni: Hope you can hear me. I've just got a couple. First is on Poste synergies of EUR 50 million. So what are your time lines on this? And any costs that will be incurred to deliver these synergies? You mentioned the MSA OpEx accounts for 22% of your domestic OpEx, and that's reduced 11%. So is this just due to fewer lines? What are the moving parts here? And what are your expectations for this cost line into '26 and '27?
Pietro Labriola: Thank you. About if I catch in the right way your first question is related to the synergy with Poste, if I'm not wrong. In such a case, what we show is mainly procurement synergy that will enter in 2027 and will be a regime in 2028, just because being procurement synergy, you must wait that the previous contract will end to do some joint activity or some contract, but we are working on further other activities. Some of them are transformation that we'll disclose in the second half. About the MSA OpEx. The optimization of the MSA is not only related to the fact that you will have a reduction of the line because this is a variable component. For sure, I would like to not do a kind of saving on the cost line because they will keep for me the customer. But there are other areas, for example, we have to choose between FWA, FTTH, FTTC and the level price of each of this technology is different. With different level of CapEx, margin and cash generation. So be very clever in managing that is an opportunity. Then in the meantime, we have also some part of the MSA that is related to the use of some services. And we are optimizing. This is not a 1-year work because you have to remember to everybody that by 2029, there will be a good part of the MSA that will completely expire, and we will have to decide if we have to renegotiate or not. In such -- in this case, we have to highlight that we are also working on the use of AI because of some of this activity. AI could substitute that kind of activity. So it's difficult to say. Stay tuned until then to see some transformation. But it's important to show to everybody that we're a company that is not working anymore. Just for the next quarter, but for the financial sustainability of the company in the medium, long run.
Ajay Soni: Follow-up. So then it's reduced 11% this year or 2025. What are you expecting for '26 and if you have numbers for '27, that would be great.
Pietro Labriola: We have in our number, a reduction of the cost that is related to 2 components, as I was mentioning to you. The one is a volume-driven approach. If we will lose further line, we'll have that. And another part that is an optimization. But in any case, I cannot disclose the number, but there will be a reduction also 2026 on 2025 and also 2027 on 2026 on the MSA cost.
Operator: The next question is from Joshua Mills at Exane.
Joshua Mills: Hopefully, you can hear me now. Sorry about that. Two questions from my side. One is just on the FY '27 numbers. So I know that you're not reiterating the free cash flow guidance today and you're waiting for the Capital Markets Day in the second half to give more detail. But just if we think about the building blocks you've laid out for 2026 and what looks to be an implied uplift to the free cash flow guidance this year when you adjust for the pull forward of the nonrepeating items. Are there any headwinds that we should think about or potential challenges yes, headwinds to free cash flow in '27 that might negatively affect the EUR 1.1 billion number that was put out previously? But am I right to infer that as you walked through this presentation and talking about opportunities and cost savings, et cetera, that the risk is probably to the upside on the EUR 1.1 billion. That's the first question. And then secondly, I wanted to get a sense of how you're thinking about the RAN sharing deal with Swisscom. I note that in the presentation, you're referring to potential cost savings, but do you also expect there to be a network impact and improvement in network quality? And if so, how meaningful do you think that might be in the medium term?
Pietro Labriola: Okay. About the first question, we don't see any kind of risk or headwind for the 2027. We delivered a better result for 2025. We are confirming the result for 2026. And so we will continue with the same path that we told also the previous year for 2027. So we don't see any risk or headwind. Related to the RAN sharing, as we told to the market about the JV, the joint venture with Vodafone Fastweb, we were saying that we see that result of the activity we started to be exploited ahead in the -- if I'm not wrong, 2029, we'll start to see some savings for the JV about that. And in our number, what is happening is that we are considering the actual CapEx, also part of the CapEx to start that activity. So in some way, what is happening is that we are doing better than what was forecasted because in the previous plan, it was not included. Now if Elio elaborate -- want to elaborate some more on that.
Elio Schiavo: Sure. Thank you, Pietro. Yes, we are expecting the approval from the AGCom that is the authority. And we start this year, this RAN sharing agreement. At the beginning, we have to invest to consolidate the network. And we expect, as Pietro mentioned, to have the running cost saving in 2029, but we started to see some results already in 2027, 2028 else longer we proceed with this kind of agreement. Remember that we are talking about to have a JV that every company will keep the asset along and we will share the energy cost and the investment for the 5G. So when you're talking about the benefits, we will be cost saving, but our CapEx avoidance as well.
Pietro Labriola: But Joshua, what is important is that respecting the previous guidance when the JV was not planned, we are maintaining the same level of CapEx absorbing in that level of CapEx, the investment needed to pursue the saving that we will have from the JV. Is it clear?
Joshua Mills: Yes. Great.
Operator: The next question is from Domenico Ghilotti at Equita.
Domenico Ghilotti: Can you hear me?
Pietro Labriola: Yes.
Domenico Ghilotti: Okay, fine. So a few questions. The first is on Sparkle. We have seen another delay. So just to get your comments, your color on what's going on there. And if you can confirm the expected proceeds that were around EUR 700 million. Second is on the decision to use the buyback as a shareholder remuneration for '26 instead of a dividend distribution based on the Sparkle proceeds. If you can elaborate on this decision given the strong rally maybe it was more interesting to give a buyback dividend. And third, on the price hikes, I wanted to know if you are planning for additional price hikes on the back book also for 2026?
Pietro Labriola: Thank you, Domenico. About Sparkle, we are -- what is happening is that we are waiting for the approval mainly in 2 countries. European Union and U.S. In the U.S., there's a delay because several shutdowns that happened in the public administration in the U.S. delayed the process. At European level, we are confident that we will receive the approval by the end of April. So we are quite optimistic. What was happening that we gave a first request, then we change some of the details and we answer to the question of the European Union. And so now we are waiting to deliver the final notification but the process is under control. About the price, as we mentioned, we think that the cash in, but we have to wait the closing of everything should be in the -- around EUR 700 million, as we always stated. Then about the buyback. So let's remember that today, and then I will leave to Piergiorgio, if you want to elaborate more on that. Something that is related to an extraordinary activity that is the sale of Sparkle and something that is related to the natural and normal cash generation of the company. We gave a dividend policy for what is the normal cash generation of the company with the guidance that is exactly the one that we gave last year, 70% of the equity free cash flow. Instead, about the Sparkle sale, what is happening that as Piergiorgio is teaching me every day that we have to work on the capital allocation, what is better today in terms of capital allocation to buy our stake, our stake where you have to consider that we are still below the multiple of EBITDA of our peers. We still have to show the potential synergy coming from Poste. All the market is betting on the fact that there will be a market consolidation. So in such a case, I have a rational approach to divide it by 2, the shareholder remuneration, the one that is related to the traditional flow of cash that give you a dividend policy. And the use of buyback, we think that is the best way to do the interest of all the shareholders and of the company. And about -- if Piergiorgio has nothing to say, I will leave to Andrea to talk about price hike.
Andrea Rossini: Thank you, Pietro. Very quickly, Domenico. We plan to continue the price hikes. We -- as I said in the previous answer, we see an opportunity in the market, and we actually see also a positive trend that also some other operators are coming along on the back book price up. So we see an opportunity and the amount of price hikes will be broadly similar to the one in 2025. The phasing will be slightly different in the quarter. But the overall impact in here will be broadly the same.
Operator: The next question is from James Ratzer at New Street.
James Ratzer: Hopefully you can hear me okay?
Pietro Labriola: Yes, perfectly.
James Ratzer: Great. Yes, Pietro, I have 2 please. So the first one was sorry to come back to just your guidance, which I'm pretty sure you're reiterating. But the EBITDA in 2025 was plus 4% in the domestic business. You're guiding for around 4% for 2026. So to get to the bottom of your range for EBITDA growth to 2027 at 5% to 6%, that would imply that your EBITDA growth in 2027 needs to reaccelerate back up to 6% or more. Is that what you are kind of implying with the comments today? And then the second question was just coming back to the point that was just discussed about price hikes. You've been able to increase pricing and ARPU during a period where FiberCop's prices to you have largely been unchanged, and that's allowed you to expand your margins. I think the new AGCom rulings will allow FiberCop now to increase their wholesale pricing, which I understand that they plan to do. So does that mean you now need to raise pricing at an even faster level? Or does this imply that your margins could start to get squeezed a little bit?
Pietro Labriola: Thank you, James. About the first question, you are completely right. We'll have an acceleration in 2027, but it's not just an Excel exercise. If you remember at the beginning of the call, I explained that in 2026, we'll have a first quarter in which we will have the lack of part of the revenues and EBITDA coming from the MVNO. So mathematically, when in the first quarter 2027, I will have the overall Poste MVNO, you will have an increase of EBITDA in 2027 compared to 2026. We are talking about something close to EUR 30 million. I have to remember to everybody that today in the number of team, 1 percentage point of EBITDA means EUR 20 million of EBITDA. So just to give you a rough number, exactly the math is right, 5% in 2025, 4% in 2026 and 6% in 2027, roughly. About the price hikes. Once FiberCop, we start to increase the price and then we have to talk about our MSA with FiberCop that allowed to keep some price flat. What will happen that everybody will receive this price increase. So my question is in front of this price increase, I will react the energy player that are the most aggressive one in the market today. Can they subsidize in the telco with the energy, the telco business, I think that this is something very interesting that will put in the market more rationality. But we have the MSA with for certain components the price are already defined, the MSA was approved. And then for the rest, the increase of price will be for everybody. So let me say, more aggressive players, I will react to that kind of price increase. I look at that not as a threat, but an opportunity to have a more regional market. But I leave to Andrea that is responsible for that number to answer on that.
Andrea Rossini: Thank you, Pietro. So in terms of the trend we see, our ARPU scale up is due to several factors, not only price hikes. Notably, we have done upselling, cross-selling action and also the TIM Vision business has contributed quite a bit. So we see an opportunity to increase revenues not only due to price hikes. As Pietro said, we do believe that the possible price increase on FiberCop and fiber in general may bring some rationality in the players. So we see an opportunity on the front book pricing trend in the market. Also, we reinforced with market consolidation, but also before market consolidation, probably some rationality may arise. I hope that's clarified.
Operator: The next question is from Giorgio Tavolini at Intermonte.
Giorgio Tavolini: I have 3 questions from my side. The first one is on the renewal of the spectrum licensing expiring in 2029. When should we expect greater clarity on the next steps? The second one is on the cash financial charges in your free cash flow below EUR 600 million. I was wondering if there was any one-off and what is the trajectory for 2026? And the third question is on AI adoption. I guess it may create opportunity for further acceleration of your transformational plan. But at the same time, I was wondering if you see any AI disruption risk, for example, potential disintermediation in certain processes related to TIM Enterprise. For example, the consultancy activities following an increase in sourcing by clients.
Pietro Labriola: So Giorgio, about renewal, our expectation and our hope is that by the beginning of the second half, we will have some more clarity. About the second question, I will leave to Piergiorgio to give you some more details. About the third one before to leave to Elio, it's important to understand that today is not only a matter of the use of AI to sell in the market. But AI could be also a further accelerator of efficiency inside of our company. Because what is happening today is that, for example, for a company like our that for historical reason has legacies, you are not obliged today to move to new system, but you can use AI to have what they call, I don't want to see and polite, digital sleeve to facilitate some activity that until today will be expensive, timely and needed for a lot of human being be done for a very cheap cost by some AI. And it will be one of the points on which we'll bet for our transformation improvement. Then about the enterprise impact I leave to Elio to give you more color and then Piergiorgio will answer on the cash financial charges.
Elio Schiavo: Thanks, Pietro. Thanks Giorgio, for the question. So we see this as a very interesting opportunities instead because as you probably know, we buy from the market about 2 billion services and products. So actually, the more AI will penetrate the market, the less we believe we will pay for the services that we are currently buying. So let's say, on the consultancy spectrum, we are on the good side of the equation because we buy services. And so if AI will generate efficiency on that side, we will benefit from that process. More in general, we believe that for adoption of the new technology, which will cost a lot of money, you need to have a very large shoulder has it happens to TIM Enterprise. And so we believe that we will be a main actor in that space. We look at this with 2 different lens. One is how much efficiency we can generate by adopting those technologies. On the other side, how much we can contribute to large enterprise and public administration to let them to adopt new technologies that we could buy from large players and resell to our customers. But let's say, all in all, we see a very positive trend in front of us. And as I said before, I see that the point that you mentioned, you mentioned on consultancy actually plays in our favor.
Piergiorgio Peluso: Thank you, Giorgio. On the net financial charges after lease, which is more or less in line with the cash interest that you see in the cash flow analysis. I would say there are no material difference between 2025 and 2026. It is just a fact that the Italian component is lowering in terms of average cost, while, of course, the Brazilian one is slightly increasing. And as you know, in Brazil, there is, let's say, a slight increase in leverage, given that we also have a portion of leverage in Brazil that we use it as a cash flow range for our Brazilian stake. But I would say there are no material difference. In 2026, we expect a slightly lower number in terms of cash interest.
Operator: The next question is from Fabio Pavan of Mediobanca.
Fabio Pavan: Yes. A couple questions. First one is a follow-up. So we're looking at '27 targets provided you will give us some more color after the summer. My question is, should we think about the equity free cash flow target previously disclosed as the number which makes sense from '27. Second question is for -- on enterprise [indiscernible] cloud after the 24% growth we had in 2025. How are you thinking about '26 and '27 grow? And again, on this, are you still scouting some option for JVs on partnerships? This seems to be the trend for the sector. Very last question for Pietro. You mentioned noncontribution from earnouts has been assumed. Should we see this as you are not expecting any contribution or you are simply adopting a more prudent step at this stage?
Pietro Labriola: Thank you, Fabio. About this question is we did all the things that we promised in 2022. So now the earnout is not included in our number, but it's something that we'll continue to pursue because we think that it's something that is still achievable. Then about '27 targets, the direction is that one. So there's no reason to change the target that we had also in the previous plan. And the second one is on Elio? I hope the answer in the meantime for the first 2?
Elio Schiavo: Yes. Thanks, Pietro, and thanks, Fabio, for the questions. So Fabio, as you said, let's say, we are registering a very, very high growth on cloud. The market is running around 17%, 18%, we are above 25%. And this is mainly driven by the position that we have on public administration because as a matter of fact, the National Strategic Hub is performing much better than we were expecting at the beginning. And this is creating further acceleration on the cloud business. As Pietro said at the beginning, let's say, we do see also the opportunity of sovereignty going forward because it is clear that the more the market will go toward the theoretical disintermediation of hyperscaler, the more this business will become a make business and margins will become higher and higher. So if you look at the world, the market is foreseen for sovereignty, the growth for banks, insurance, large enterprises and public administration is twice higher than it is today. And this is a space where clearly we can play a very important role because we have all the assets. We have backbone colocation data centers, a very capillar large sales force, and we are part of the National Strategic Hub. So as I used to say very often in this kind of conversation, so we are likely because we grow in the market growing, but clearly, our positioning is a premium positioning. So I don't see cloud to change the trajectory.
Operator: The next question is from Andrew Lee at Goldman Sachs.
Andrew Lee: I had 2 questions. The first question was a bit of a follow-up on your expectations for Italian growth drivers. And the second one was on Italian CapEx intensity. Thanks for your help in understanding the MVNO impact in 2026, which sounds like it's suppressing the growth a little bit in 2026 in Italy. Are you anticipating the underlying trends through 2026 outside of that MVNO impact are the same, i.e., continued cloud growth versus connectivity declines? And do you expect those trends to continue into 2027 absent any consolidation? Just trying to think about what we should be thinking about for structural growth once those MVNO impacts dissolve. And then second question, just on CapEx intensity. It's clearly been coming down. You're guiding for 12% in 2026. What we're clearly seeing is there's a little bit of a sitting on hands moment for Italian mobile operators while you wait to see how and when and whether consolidation plays out. Do you see that 12% CapEx intensity as a new kind of structural norm? Or is this just a temporary suppression in your CapEx ahead of having greater clarity on the market structure?
Pietro Labriola: So about the first question, adjusted. Can you repeat. Yes. Okay. So because I didn't try to. I was forgetting the team will remember me. Now our business model is quite clear. In the Consumer segment, if you will not have the market consolidation and if you will have no opportunity to increase the price for the increase of the quality, the opportunity that we have for the first time in the last 15 years because for the first time, you have customers that are starting to use services, cloud gaming, application, AI that requests a larger quality. This is an opportunity to increase our revenues and to improve our EBITDA because it's not necessarily driven by CapEx intensity. But if it will not happen, and if you will have no market consolidation, we must be very transparent. The life of Andrea and me in the Consumer segment, but not only in Italy, in Europe will be tougher because you cannot think that you can continue forever to exchange lines erosion with price increase. But again, this is not something strange. This is the reality in which everybody today in Europe are struggling and are asking a loud voice for market consolidation. Or if you will have no market consolidation in terms of M&A, you have to work at the network level. You have to allow JV as the one that we are doing with Vodafone Fastweb because putting together part of the network will allow to have efficiency. This is something that will be needed for 2026. No, our trajectory, 2026, 2027 is already defined, but if you ask me something about '29, '30, it's clear that something in the Consumer segment have to change. When we move in the Enterprise segment, what is happening is that we are not working on AI. That is become a disruptor. We are not working on software development where AI is disrupting. What is happening is that everybody will need cloud, connectivity and cybersecurity. And these 3 components are not looking for geography scale, the backbone is in Italy, you cannot have a synergy because you are a backbone in Italy, in France and in Germany. The backbone needed today for some of these services, must be in Italy. The cloud and data center cannot be remotely in Denmark or Norway because to exploit some services you need the range of 300 kilometers. And cybersecurity system but must be national, cannot be foreigner for a matter of digital sovereignty. Why I'm mentioning that? Because while in the past was showing you the increase in the growth coming from the cloud today, the part will become sovereignty. So these are the driver of our plan. If you image at a certain time in the consumer, there will be a market consolidation. It is quite clear that everything will change and repeat. The market consolidation can come from the merge between player or for a situation which you put together the network infrastructure at the mobile level. Then about the CapEx intensity today, our CapEx intensity, as you can see, we were able to confirm the guidance absorbing in our CapEx intensity, the increase of investment for the JV. So we don't foresee in the next 2, 3 years, the need for an increase of CapEx intensity to deliver our plan. Then if we start about new business model or something like that many or whatever. At that time, we'll do all the evaluation, having in mind that we must be market-friendly, cash-driven and not look only at the return on investment in the long term, because this sometimes was a mistake in the telco environment. If you look at our ROIC versus our WACC, the issue is that a good part of our investment was made when the ARPU was double than today and the technology was changing every 10 years. Now the ARPU is very low. So we have only opportunity for the increase. But the technology change every 1 or 2 years. So we must be very careful in new activity. That doesn't mean avoid or to put obstacle to the innovation, but be very clear in understanding the right wave that we have to serve. Hope that was clear.
Andrew Lee: Yes. That's really clear. So it sounds like do you think that at least existing operational intentions that you can maintain the CapEx intensity that you're guiding to for 2026 and then your -- the growth guidance or the underlying trends in terms of your growth in Italy, the key drivers are going to continue as they are unless we see consolidation.
Andrea Rossini: Andrew, this is Andrea. We do see the following assumption. We believe that the underlying trend on the retail side will be broadly stable, net, therefore, so separated from the effect of the MVNO impact. So we do see this opportunity. Pietro clearly highlighted that there will be further opportunity, of course, if market consolidation comes and if we see an acceleration in the front book price up due to network quality differentiation. But we do believe that the underlying trend on the consumer and SMB side will be broadly stable.
Operator: The last question is from Paul Sidney at Berenberg.
Paul Sidney: Obviously, a lot of questions have been asked already. So just a couple of big picture questions, please, on the domestic market. Firstly, in Consumer. You mentioned Iliad is less of a disruptor, Fastweb be more rational. You're clearly following a value-over-volume strategy, which is a phrase we hear time and again from operators across Europe and the U.S. value over volume. And the question is, in your view, is the telecom value -- sorry, volume game over? And then on Enterprise, your growth is substantially higher than your European peers. I know you gave huge insight to that fantastic event in Milan last year. But could you just remind us what is different to you versus your peers? Is it something you're doing differently operationally? Or is it something different about the Italian market structure?
Pietro Labriola: Okay. We cannot say that our formula can be applied everywhere. When we are in the consumer and mobile ARPU that is the lowest of the world. And also on the fixed, we are among the 3 lowest in the world. The cost of acquisition gives you a breakeven in 3, 4 years. So we are not more clever than the other. But in such a game, spend money to acquire a customer, when the cost of acquisition is a breakeven of 2, 3 years, makes some sense. So it oblige everybody to move in that direction. We declared in 2022, but the SIM declaration was made by the Chief Executive Officer of Swisscom when they acquired Vodafone. They expressly stated in Italy, there's no return on investment to play a game that is based on the volume. So this is the Italian situation and letting that I'm seeing more or less throughout Europe everybody that are starting to say that the strategy is to move from volume to value. Then in U.S. with an ARPU of $50, I don't know because it's something different compared to our ARPU. So this is the main difference in Italy. And in some way, starting from a level of ARPU that is so low, I think that compared to other country, we have some more opportunity. I have to remember to everybody that EUR 1 that is less than a coffee in room is not in New York or in London because there the coffee has a cost of EUR 7, but each euro of increasing price means EUR 160 million of equity free cash flow. And this shows the opportunity that can come from a more rational market. When we move to the Enterprise segment, is the difference that, for example, if you compare us with some other peers, they prefer to sell the data center and to keep the last mile. Due to the regulation, we did exactly the contrary. We don't think that the last mile is a competitive advantage because when you have to offer that last mile to everybody with the same price, putting you the CapEx upfront to do that is no more a competitive advantage. We own the data center and they have to remember that we are the only player in Italy with 8 Tier 4 data center. The future services, Enterprise and Consumer will need a ray of the presence of the customer below 300- and 400-kilometer to experience that kind of service. We have in Italy, the widest backbone compared to the other players. We have, in Italy, a company 100% owned by us that is [indiscernible] in the perimeter of area -- that is a company that works on security, not only for the private market, but also for the Italian National Security. We serve the communication between the Italian Embassy and the foreign minister. These are all elements -- sorry, and we were the first one to sign agreement with some of the hyperscaler to have cloud region with -- in Italy with the cryptography in the hands of an Italian company. So these are the element that makes us different from the other player and the other country. Then in some way, the digital sovereignty that is becoming a must at the European level. If you see in France, the French government want to forbid the use of Microsoft Teams. In Denmark, they don't want to use Microsoft Office. In Germany, they don't want to use public cloud solution. In France, too. I think that it is a trend. And thanks to God we started to work on these things not now, but 4 years ago.
Paul Sidney: Just a quick follow-up. I totally agree with you on the ARPU point at EUR 10. It's just crazy when you think about a coffee or a local bread and stuff you buy every day. But is there any reason why ARPUs can't move to 15 or 20 years on mobile in Italy over time?
Pietro Labriola: But I was discussing with my team and they will do to you an example. The main mistake was of the telco, because we were unable to show to everybody understand to everybody how much is important the connectivity. We cannot work in terms of strike. I cannot do a strike of 1 day without mobile because I will be in jail. But I will do exactly this example. In Milan in San Siro will cover the stadium with a much better quality. Now if you go in the San Siro Stadium, you will see a pop-up on our mobile, let's say. Do we want to serve at the right pace, you can click here. Today, I'm not asking money. But in the future, I won't cost money for that. Why the customer should clean? If you go to San Siro you pay the coke, 3 times of the price that you should pay out of San Siro. If you buy a sandwich, you will pay 3 times the price that you buy outside. If you get the coffee, you pay 3 times. Why as a tech operator, we were so stupid and idiot to not allow the customer to understand that. A coffee per month is something that you can avoid, but the quality of the network is something that is mission-critical for your personal life. I think that the call is end. So I want to say thank you to everybody. It's important to remember to everybody that this is not the journey that we started 4 years ago is not ended, but now start a second journey because we are able to bring the company in a more normal condition, but the toughest job is starting now. So I want to say thank you to all the team. And we will follow up in the next day to our IR. And thank you to everybody for the trust and thanks to the team.
Operator: Ladies and gentlemen, the conference is over. Thank you.